Operator: Good day ladies and gentlemen and welcome to the Karora Resources Full Year and Fourth Quarter 2021 Conference call. At this time note that all lines are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session. [Operator Instructions] Note that this call is being recorded on Monday, March 14th, 2022. And I would like to turn the conference over to Paul Huet, Chairman and CEO. Please go ahead sir.
Paul Huet: Thank you operator. Hello and good evening from Perth, Australia where it is 10 pm here. Just as a reminder, we will be talking to a power point slide deck. For anyone interested the slide can be found on our home page of our website and you can just follow along in the webcast with us. At this moment, I’d like to welcome everyone to the Karora Resources fourth quarter conference call. 2021 was a strong year for us as we set new production and cash balance records while overcoming numerous challenges related to COVID-19 restrictions that impacted our labor and supply availability especially in Q4. Before we get into the financial and operational details, I’d like to remind everyone on the call of our commitment to achieving high ESG standard and on that note we are very proud of the fact that we became one of the first junior gold producer to achieve carbon neutrality in 2021 for Scopes 1 and 2 emissions at our operations. It gives me great pleasure to announce that we will be publishing our first ESG sustainability reports in the coming weeks that will further outline the steps we are taking in this area. Throughout our organization from the operational level through to the board of directors, we are committed to building on our accomplishments and continuing to implement world class ESG standards at Karora. Here with me this evening in Perth is Graeme Sloan, Managing Director of our Australian Operations and on the line with us is Oliver Turner, Executive Vice President of Corporate Development. This morning, we issued a news release outlining our results for the full year and fourth quarter 2021 results. Our MD&A and financial statements for the period ended December 31, 2021 have been filed all of which are available on the Karora website and under Karora’s profile on SEDAR. Our slides three and four, before I begin the presentation, I would like to remind you to please review our cautionary statements regarding forward-looking information, non-IFRS measures and our 2022 to 2024 growth plan all of which can be found in our management discussion and analysis, our news releases and our presentation slides. Over to slide five. 2021 was our best year ever for production for the company. Additionally, we also had robust results from the drill bit including new gold and nickel discoveries at Beta Hunt south of the Gamma Block and major extensions to the mineralized zones of Beta Hunt, including the Larkin and Fletcher gold zones and also the 50C Nickel Trough, all of which Graeme will speak to a little more later on the call. Turning to operating results, we produced a record 112,814 gold ounces, so just shy of 113,000 ounces, placing us at the high end of our production guidance range for the year, which was 105,000 ounces to 115,000 ounces, while our all-in sustaining costs for the year were 1000 wells per ounce sold, placing us at the low end of our AISC guidance, which was a range of 985 to 1085 per ounce sold. Also in Q4, our production was just shy of 28,000 ounces at an AISC of an all-in sustaining cost of 1042 per ounce sold. Last month, we announced slightly revised guidance for 2022 that recognizes the well-known current tight labor conditions and supply chain constraints in Western Australia and globally for that matter. For 2022, we are targeting gold production between 110,000 ounces and 135,000 ounces at an all-in sustaining cost in a range between 950 and 1050 U.S. per ounce sold. We also increased our sustaining and growth capital guidance by approximately 12% to reflect the reality of the current cost environment. And again, Graeme will discuss this a little more in detail afterwards. As most people are aware order restrictions in WA have recently relaxed. And we expect a positive impact on labor shortages over time, and are hopeful like many others for the situation to slowly begin to improve as a result of this. Look, there's no doubt that this will take some time, it's not going to happen in one month, it's going to take some time to trickle in. At this point, our expectation is that our production and cost performance will improve for the second half of 2022 compared to the first half of 2022 as conditions become more normalized. The current strong nickel price environment is also very exciting for us. This has certainly been the topic of discussion with many investors. It provides significant potential upside to our 2022 cost estimates and increases a level of optionality for us. For the first time ever, Karora introduced nickel production guidance for 2022 and that was between 450 to 550 payable nickel tons in our guidance last week when we put it up. We use the conservative nickel price of $16,000 per ton in our 2022 byproduct credit forecasts. With current prices of $45,000 per ton, there is a high potential for us to see a material positive impact on our goal production all-in sustaining costs for the year. So we're quite excited about it. We expect nickel to become an increasingly important part of Karora beyond 2022. As we continue to develop the high grade 50C Nickel Trough discovery at Beta Hunt. Just as a reminder, we just discovered that last year actually, when we put out that resource in 2020, this 50C zone didn't even exist. So we're going to be putting out our nickel resource resources here in the very near future. Graeme will also provide additional details on the 50C trough. But I can tell you, we're working very hard at getting the new nickel areas into resource and getting it completed. So in short, we expect nickel byproduct production from Beta Hunt to grow meaningfully beginning in 2023 and it will trickle into 2022, but 2023 should be a lot more meaningful and be a real differentiator for Karora going forward. There's a lot of work to be done on the nickel front, but we have some very exciting opportunities in front of ourselves. And it's important to mention that while we intend to capitalize on strong nickel prices, and our production potential, we will not let it lessen our focus on gold. Looking beyond 2022, we believe our multiyear organic growth plan announced in the middle of 2021 to increase our gold output has put us on a path to increasing annual production between 180,000 ounces to 200,000 ounces by 2024, while reducing all-in sustaining costs. As we execute on our plans, the Company will continue to grow towards joining the ranks of the next tier of gold producers and also towards the reward of a higher market valuation for all our shareholders. Over to slide six, I wanted to talk about some financial highlights for 2021. 2021 revenue was very strong at approximately $264 million for the year that was up $25 million, or 10% compared to 2020. 2021 adjusted earnings were approximately $48.6 million or $0.33 per share, that's about $23 million lower compared to 2020. That's mainly due to a $26 million tax restructuring recovery that we realized in 2020. 2021 adjusted EBITDA was about $104 million or $0.70 per share, which is a 9% increase over that same period. And our fourth quarter adjusted earnings were $12 million or $0.08 per share, and Q4 EBITDA was $25 million, or actually $0.16 per share. Our cash balance at the end of 2021 was a record at $91 million, positioning us in a strong financial situation as we advance our growth plan. Before I pass it over to Graeme, I would like to take this opportunity to thank the entire Karora team, including the board of directors for turning out a very strong performance in 2021, despite the challenges we had all over operationally everywhere. The commitment demonstrated by the team has been and continues to be truly remarkable and certainly does not go unnoticed. On that note, I'll turn it over to Graeme to give you an update on the operational highlights.
Graeme Sloan: Thank you, Paul. Let me begin with a review of our key safety and environmental metrics, both of which I'm pleased to say continues trend in the right direction. The Beta Hunt, we are now over 536 days, LTI free, and as Higginsville 51 days. Our company wide TRIFR rate, which is an Australian industry wide measure, has decreased over nearly 60% over the past year, demonstrating our strong commitment to safety at both sites. On the environmental front, we had one reportable incident which was minor in nature, quickly rectified. For the full year, total environmental incidents were down 36% and when coupled with safety, a very pleasing result from operations. One area which Paul has mentioned to us continues to build momentum for the entire industry is the impact of COVID. And what it is having on people and costs. With the new variants and WA’s national and international borders now open, we are entering uncharted waters. Recruitment and retention of people along with the increases in costs due to COVID will impact our all-in sustaining costs and productivity going into 2022. For example, we've seen diesel prices rise 8% in quarter four, and one of our service contractors for contracts currently being negotiated, they are seeking a 15% increase, so certainly challenging times. We do have countermeasures in place, including a specialist COVID management team, but in many cases we are dealing with unknowns. However, be rest assured we have and will continue to do whatever is necessary to lessen the impact. On production, as Paul outlined earlier, 2021 was a very strong year, coming in at the high end, production guidance and the lower end for our all-in sustaining costs. Total mine production was 1.7 million tonnes, with 1.4 million tonnes process at Higginsville at an average grade of 2.6 grams. Mill recoveries remain consistent and very strong around the 92% to 94% demonstrating the benefits of optimizing our feed blend from Beta Hunt Higginsville and Spargos. Plant improvements made by our processing team throughout 21 also contributed to the improved recoveries. Full year mine production from Higginsville was 855,000 tonnes at an average grade of 1.6, with the majority coming from Hidden Secret Open Pit, which is by the way scheduled for completion during the current quarter. A total of 557,000 times there's milled at a grade of 2.1 for the production of 34 and a half thousand ounces, up 5% from the previous year. As Spargos production from stage 1 open pit began in quarter four, and continues to ramp up as per scheduled, with planning and approval for stage 2 well underway. Drilling during quarter one of this year is plan to extend the current margins of the open pit and grow the underground resource. Bringing Spargos into production in just over 18 months is an impressive achievement for the team. And we are looking forward to the operation becoming a steady source of new feed into the future. At Aquarius, the box cut was completed and the decline advanced over 200 meters by the end of quarter four. First-off from Aquarius is expected to be intersected this quarter. However this is very at the very top of the ore body, hence will be lower grade. With the main zone on the 1180 level due to be reached in quarter two of this year. At Two Boys limited mine production was carried out in the quarter four, however development has intersected the main high grade ozone with assays pending and we hit that this quarter. If we move to slide nine, the operational highlights Beta Hunt. For the full year 2021, Beta Hunt provided approximately 60% of the Higginsville mill feed and accounted for around 70% of the total gold production. Tonnes mined were 886,000 tonnes at 2.8 grams and milled 884 just under 3 grams for a total of 78 and a half thousand ounces 78,500 ounces I should say. To maintain current production levels and support the growth plan, Beta Hunt continue to to stage fleet replacement program with the acquisition of two new AD60 trucks, and a new jumbo drill on order for delivery mid-year. Development of the Second Decline is underway and on schedule. Contractors have been mobilized to site the 506 underground incline commenced, and the surface box cut underway and scheduled for completion in quarter two this year. The main surface decline will then commence to leap with the 506. As for nickel, well, as Paul said what a story and who would have thought we'd be looking at prices of over 30, 40,000 U.S. dollars a tonne. Nickel will play a key role going forward in our production plans. It's all about how quickly we can get into a position to deliver on that value. Current nickel production is limited mostly to remnant areas, which supports our 2022 nickel production guidance. However, with our exploration success over the past 18 months, we are well positioned to add to our nickel resource, which will underpin a significant increase in production from 22 level from 2022 levels leading into 2023. Slide 10 exploration highlights. Turning to exploration, we are very pleased and excited by the results being delivered by our team on the ground. As previously mentioned, we have numerous opportunities at various stage of progress. And what better way to unlock this value than a healthy exploration budget. This year, we'll spend between 20 million and 25 million Australian dollars and look to carry this through going forward. At Beta Hunt, almost 10,000 meters of exploration and resource development drilling was completed during quarter four, primarily directed at supporting a multi-year growth plan. Drilling focused on extensional and infill drilling from underground and a small number of surface holes and testing the update extensions of A Zone and Western Flanks. Underground drilling targeted new and parallel gold zones in the Hunt, Beta and Gamma blocks. Results from this drilling are expected to be incorporated into a new updated resource plan for release in the coming weeks. With respect to nickel, drilling of the 50C has extended the strike length to over 250 meters and 150 meters in width, all in just over 10 months since the first discovery hole. The 50C Block remains open with a historical hole of 11% nickel over 9.5 meters located one kilometer to the southeast of the 50C block. An updated nickel resource incorporating 50C, 30C and 10C is expected to be completed by midyear. So in conclusion, 2021 was a record year for us. And although we are faced with a number of challenges, we look forward to delivering more of the same in 2022. I'll now turn over to Oliver Turner.
Oliver Turner: Thanks Graeme and hello everyone. Over the past several months, we've seen a material shift in current market conditions that have led to strong performance across the gold sector, even at for somewhat uncomfortable geopolitical reasons. In addition to our usual investor roadshow, marketing and retail investor summits, we've seen an increase generalist investor interest in the gold sector. Our decision in 2020 to focus on advancing our ESG at Karora has paid dividends both with respect to new investor meetings, and in securing new, large institutional shareholders. As we all know, ESG criteria are changing the global investment landscape. And with that in mind, we are pushed aggressively forward with advancing our strategy over the last 18 months. I am pleased to announce that in just the next few weeks, we will be releasing Karora’s inaugural ESG report. This report is the culmination of 18 months of work by our team internally and expert external advisors and marks a new milestone for the company. Over the last three years Karora has matured as a stable business driven very strong shareholder returns for investors, and now has developed into a new potential investment for large ESG focused funds. It has been a challenging but fruitful journey and we would like to thank all of our employees, contractors and stakeholders who supported us and getting to this point. As we float around the $1 billion market cap threshold, you're certainly entering a new and exciting era for Karora shareholders. Lastly, I would also like to announce that we now have a full virtual tour produced by reality check systems on our website. Given the challenges with getting investors and analysts to cite over the past few years this is a wonderful tool to get a virtual first-hand view of the progress made at our properties. All three operations are available in 360 video, as well as some impressive drone overviews. The tour can be accessed directly from the homepage and we encourage our listeners and investors to take a spin through our operations. With that, I'll turn the call back over to Paul.
Paul Huet: Thanks Oliver, and Graeme. I just want to take a moment and thank everyone for joining us on our call today. And I will just turn it over to the operator at this time to ask some questions. Graeme and Oliver, I'm hoping you guys can hear me. You might have to help. I'm struggling here with one of my technical things. So let's see how the questions come through here. Go ahead, operator.
Operator: Thank you, sir. [Operator Instructions] And your first question will be from Ovais Habib at Scotiabank. Please go ahead.
Ovais Habib: Hi Paul and Karora team. Just want to say congrats to you and your team for really a strong year despite the COVID restrictions. Paul, a couple of questions from me. Just starting off. So in regards to your 2022 guidance, you're expecting your first half of the year to be stronger than the second half of the year. Can you provide some color as to what's driving this? Is it tonnes? Is it grades? And also maybe Paul, you can touch upon the current nickel guidance. Does that include the new 50C zone? Would you be in production by the end of year on that zone? Thanks.
Paul Huet: Sorry, can you hear me Ovais?
Ovais Habib: Yes, I can.
Paul Huet: Yes, sorry. So Graeme, I'm going to pass those to you those both. So the first one is the operational first half versus second half, and then the nickel about the 50C. So go ahead, Graeme.
Graeme Sloan: Yes, okay, thanks, Paul. Ovais you look, it's actually the, the second half will be stronger than our first half. And that's mainly based around two things, it's based around that we move into some higher grade material in the second half into the meat [ph] or some of the ore bodies, so that that does one thing. The second thing is that we are anticipating the first half we're still going to have a hangover, from quarter four with COVID costs increases. And we think as we go forward into this quarter, three, and four, we should see and hoping to see some of those relaxed and we able to get access to people. And some of the service costs we should see start to stabilize, and hopefully come down. So that's on the first part of your question. On the second part of your question on around 50C, that is that we will have an updated nickel resource. With 50C, 30C and 10C that'll come out shortly. Based on that, we'll be able to then look at putting some mine plans around development plans. Now, it is 50C is at the base of the Beta Hunt or system if you like, the current Beta Hunt. There is still well over 2.5 kilometers of tenements to explore. We will need to explore that mainly from underground given the fact that drilling from the surface will be quite deep and therefore very expensive. And we will need to develop access plans into these areas. Although we do have some relatively close development in and around the old Beta areas. So we are able to access it, it really will come back down to the indirect things like ventilation and services, water and power. So those all of those plans that we put together over the coming weeks, if not months, and then we'll look to on the back of the new decline and the new ventilation systems that will be installed. We will then be able to form a much better production plan than we have at the moment. So it's just a matter of time. We know that 50C is extremely exciting for us as you don't often see those wits, those lengths or strike and the grades that we're talking about. And we haven't seen those quite frankly from and the early Western mining days when Beta Hunt first started off. So it's really exciting times 50C is there. 10C is not too far behind And then we have 30C which we look for fill in a few holes.
Ovais Habib: Thanks for that, Graeme.
Paul Huet: Yes, Ovais I just want to add, sorry, it’s Paul. I hate to cut you off here. I just wanted to add one thing to Graeme’s response here. While he was talking about carryover from Q4, one of the things I think we should just make explain is because of being in Western Australia, one of the things we got hit with, obviously, Graeme talked about COVID in Q4. But more importantly, there's regulations here in Western Australia. But as of December 1, if you are not vaccinated, you were not allowed to continue employment. This was not a Karora decision. This had no bearing on us. It was actually a federal government, not federal; it was a government decision where every employee had to be vaccinated. And we're not unlike other of our peers, we lost something like, I think it's around 26 to 28 people, I don't quote me on the exact number, it was a big number that we lost on December 1, even though we tried to change a lot of people's mind. That had a significant impact in December that carrying to Q1 as we're trying to hire throughout the holidays, and early January. So that carried over. And I think that's an important thing to say. We’ve got between both sites, 300 employees, you lose that many, you're almost 8% of your workforce in one day, and not because they don't like working for you. In fact, we there are some amazing people, and I wish them all the best. But they just refuse to get the vaccine, and we respect their decision. So I think that's worth explaining all this because I don't think a lot of people when I was in North America here, throughout the holidays, understood that mandate that we were required to follow. So sorry about that, making it a little longer, but I think it adds a bit of color.
Ovais Habib: No, I appreciate that, Paul, and then and Graeme as well. Thanks. Thanks for giving us all the color. So just a follow up question to that then. I mean, in terms of your Q4 results, and then like talking about, the COVID restrictions as well going into Q1, and also the strike that now Spargos is on online as well. Now, how do you characterize your 2022 production and cost guidance? Is are you on the conservative side right now? Just based on all the stuff that's going on?
Graeme Sloan: With, yes, if Paul can answer that. Paul go ahead?
Paul Huet: Yes, look. It's just, obviously there's this unknown factor that's out there. And these costs, we have taken what we think is a more realistic approach, given what we're seeing in quarter four. So our guidance does include some of those however, there is, is as we said, in my presentation there in my talk that the fact is that there are unknowns out there that no company knows about that you can sort of come and put your finger on at this point in time. So we try to be realistic, we don't try to be ultra-conservative, we're not sort of optimistic, we try to be realistic in what we're trying to deliver to you. So you've got something to work on. So it's such a real balance. Some of the things we do know, and we can account for and others we just don't Ovais. So I hope that answers your question.
Ovais Habib: Yes. Thanks so much.
Paul Huet: Ovais, we're definitely not begging here. I've been in several meetings with Graeme [ph] and with our purchasing officers. And we're seeing inflation here at a much higher pace than then then I've seen even in the U.S. We have contract for a transportation that's going up 18%. So we're trying to take into account this and renegotiate contracts, and putting them long term to do the best we can to preserve those margins. So we're working aggressively on this thing and stretching our people. And the other thing that Graeme is doing is our productivity rates are improving significantly. So we're not sandbagging. Those are real numbers for us through this year. Not unlike last year though. If you look at last year, it was a build-up. So it's not dissimilar to the year the two years we've been in production. Sorry, go ahead. Ovais.
Ovais Habib: Perfect, perfect. And, and just one quick last one is, is just in terms of the resource update that we were expecting on Beta Hunt. Is that still on track and when should we expect that?
Paul Huet: Yes. Go ahead Graeme. We're going to answer the [Indiscernible]
Graeme Sloan: Go go go, Paul.
Paul Huet: Yes. The resource, we have two resource updates we want to put out. We have one for gold. At Beta Hunt, you are absolutely correct. And one for the nickel at Beta Hunt, because we haven't put one out on nickel since 2020, as well. So both of them are expected to be here at the end of Q1 or very beginning of Q2. We're working pretty hard. This has been something we've been working on very hard. Just full stop, it's been. We've hired outside consultants, and they've had some troubles with some of the people. Look, the truth is there was some mental health issues, and we had to be the bottom end of it. So we had to get other help from consultants. So this COVID thing is a real thing everywhere. It's impacting Australia pretty hard right now. It hadn't as much in the past, but it's impacting people quite a bit here now. So end of Q1, a long winded answer, beginning of Q2 Ovais.
Ovais Habib: That's great Paul. And that's it for me, guys. Thanks so much.
Operator: Thank you. Your next question will be from Nicolas Dion at Cormark. Please go ahead.
Nicolas Dion: Hi, guys, congrats on another great quarter. First question for me, just on the Beta Hunt fleet replacement program, is that substantially complete? And then maybe, what should we expect going forward in terms of CapEx on that front?
Paul Huet: Yes, go ahead, Graeme.
Graeme Sloan: Nicolas look, for the most part, certainly for now, it's complete. We do have sufficient gear to not just meet our current production, but the early start of the gross build up. So we do have that covered. We have as I mentioned, a another jumbo on order. And these things are 12 months delivery. So we've had on order for some time, and that'll be delivered mid this year. Outside of that there's some minor equipment for 2022. This is outside the actual growth development. But as far as the equipment, we're mostly done 2022. We'll need to probably look at another truck to replacement in 2023. Another couple of trucks, because some of the fleet now is getting to the stage where it's either major rebuild or replace. So that work, that evaluation is going on board, we have just recruited a very professional, new maintenance manager to look after both sides. And part of the scope is to actually go back and do asset management plan for us and a replacement schedule, which we should be, we should have very shortly. So not a lot. We have pretty good with equipment at the moment. But a lot of this because of the long late we may have to place orders for some equipment going into 23, 24.
Nicolas Dion: Okay, thanks for that. And then here's my next question. You already talked a bit about the infrastructure that you already have near to the new 50C and 30C and nickel troughs. If it's too early for this answer, so I'm just wondering if we can get maybe some high level numbers on sort of, I don't know if there's a CapEx figure we can think of or what level of throughput you think you could get out of those new areas. Anything you're able to share at this time would be helpful.
Graeme Sloan: Tell you what, Nicolas, sorry, Paul you go.
Paul Huet: Yes, what I was going to say is this. Look, we have yet to put out that new resource and we're, we're pressing to get it out like I said at the end of March, beginning of April. With that we're going to have some details around a mine plan is the one thing I would say this Nicolas. And this is a reminder to everyone, we budgeted it was $16,000 a tonne for nickel, we use in our budgets, 2022 budget. Nickel is $45,000 a tonne. And our $16,000 a tonne was somewhere right around that $30 per ounce savings. So you can do the math, depending on where nickel prices go. There's nobody who's going to be more aggressive than us than to get out of remnant areas. We've been mining them in areas since both Graeme and I got here. And look I've been mining 34 years, the hardest thing to do in a nickel operation or any operation for that is mining remnant areas in [Indiscernible]. It's a lot of work. So we are very eager to get into the 50C, the 10C, the 30C all these areas, we – they are new discoveries. 50C, again, was discovered last year; we were continuing to drill it out. So we're going to -- we're not going to drag our feet on, we're going to go as quickly as we can. We're only -- we've only got a south of the Gamma Island fault. The drift is only about 150 meters. So it's not a long ways down there from the 2.6 kilometer strike we have. So I hope it answers your question. I think, I would use your -- the value we use Nicolas the best thing to give you for your model for now, and we'll give you an update. Oliver will be calling you guys as soon as we get something more than that.
Nicolas Dion: Okay, great. No, that's helpful. Thanks. And then just maybe my last one, just again on, inflationary pressures. Are there any specific areas that you're seeing? I guess any specific areas of concern from your key suppliers that you're seeing?
Paul Huet: Well, we're fortunate that there's not anything that we're seeing at this moment, and we go through this every month with our team. Every month, we're going through critical spares. We're going through making sure cyanide line anything explosive. There's nothing diesel that that we are being told at this point, we'll stop shipping and we're going to run out of it like rock bolts or any of those supplies Nicolas. The issue is the same as everyone else in the world. We're victims to escalating prices, and we're doing our best to manage that like everyone else is. So we're not ignoring it. We're doing everything we can to manage them.
Nicolas Dion: Okay, thanks. That's it for me and congrats again on the quarter and the strong year.
Paul Huet: Yes, thanks, Nicolas. Good year for all of us.
Operator: The next question will be from Michael Fairbairn at Canaccord Genuity. Please go ahead.
Michael Fairbairn: Hi guys. Congrats on a good quarter. And thanks for taking my questions here. I wanted to start with just a question on diesel. With the diesel price increasing the way it has over the past few months. I was wondering, I guess A, do you have any oil price hedges in place? And B, how exposed are you to the oil price? Are you able to give any kind of sensitivity on this?
Paul Huet: Yes, Graeme or Oliver either one. You want that one?
Graeme Sloan: Yes, I can start off and Ollie you can jump in if you like, if I miss anything. But look, currently where we sit with our diesel we used about somewhere between 15 and 20 million litres a year. So that's a cost somewhere around that sort of $15 million Ollie. So and what we saw in quarter four was a sort of an 8% increase in diesel fuels per liter. So we and again, we've already know that in quarter one, we've seen a bit more of an increase as well. So as far as what impact that it has on our it's obviously a big part. We are helping to offset that Michael with other savings in other areas. But look, diesel prices is a concern for us. And it's just the way we need to look at how we manage that. And one of the ways that we our biggest usage at the moment is our powerhouse, which is all diesel generators, the power, we're looking to bring in either at this stage either sort of mines power from not too far away, and, or a mixture of renewables with gas that we're looking at to bring in as well. So I think, within a reasonably short space of time, we'll have certainly the plans going forward. And then we'll look to implement those to take away that heavy reliance on the diesel fuel.
Paul Huet: So I just want to add to Graeme's response here because we -- Oliver touched on it in his section here today about our ESG focus. Our focus is going to be on burning less diesel. So our hope is that, we're going to get hit with the prices with the way they are. We don't have any hedged at the moment. But those larger trucks that we bought are significantly more efficient, cleaner burning, and they move a lot more tonne than the older we had 40 tonnes and 50 tonnes trucks, we have 60 tonnes trucks now, which burn the same amount of fuel as a 40 or 50 tonne truck. So they're just cleaner burning. And as Graeme pointed out, we are we are working very hard with two separate groups at really evaluating long term, how we get away from 10 two megawatt generators running a mill to renewable energy here, that's a tremendous opportunity for us to really focus on the ESG commitments we've had, and really reduce the amount of consumption on diesel that we have. So making ourselves less reliant on diesel. So and now, go ahead.
Michael Fairbairn: Maybe one follow up on that. When you're talking about the larger trucks, do you have tier four engines and new trucks?
Paul Huet: Graeme, what engine is in the newer cleaner -- trucks? I don't know at the top of my head, they're probably three or four this year.
Graeme Sloan: This new -- Michael these new trucks that we have put the AD60s produced a much cleaner emissions, they are specially fitted with a different catalytic converter to what the normal diesel trucks and that the old 55s that we had. So we are seeing much cleaner emissions. Obviously, the next step outside of what we're going now is to look into the, into either electric or battery or those sort of approach. So we are at the top end of the day, the diesel clean trucks, if you like, the next step is to go into the other version of trucks, which is as I said, battery or electric operated. So pretty good. And certainly some good work done by our team to actually putting this down.
Michael Fairbairn: Okay, fantastic. That's very helpful. Maybe just one more for me. COVID related, as the travel restrictions are relaxed in Western Australia, can you give us a bit of a better idea of how this is going to play out in terms of easing labor pressures on the operations?
Paul Huet: Yes, well, I haven't just traveled into here with the more relaxed. Just, I'll just start and then Graeme or Oliver you're welcome to add to it. It's not going to happen overnight. And here's why. We interview quite a few people on a weekly basis here for senior roles in geology, engineering, or an operator. And we continue to get a similar message that as much as people want to fly in fly out into WA there's still some reluctance here uncertainty that the rules might change. We've been dealing I've been back for three weeks, I think the rules have changed twice since I've, since I've been here. The date was supposed to be February 5, moved to March 5. So there's people don't want to get stranded. People who are flying, fly out don't want to leave their families, and then only to find out that they have to stay an extra two weeks or whatever that is. So there's some hesitancy to do it now. People are many of the people we're speaking to are interested and are just saying, well let us to, we’d still be there in a couple of months’ time. So I've been sitting with our HR department listening to this so, people aren't just signing up and hopping on planes. I think like anything, this is just going to take a bit of time, it's not going to be snapping our fingers and borders, open people are coming. We have quite a few I think we probably not in active cases managing ourselves. There are active cases throughout. No, nobody very seriously or anything and praise God for that. People aren't eager or excited to jump on a plane where they could get exposure to COVID to return wherever they're from. Whether it's New Zealand, whether it's further or whether it's on the east coast where a lot of the population comes from. I think it's just going to happen over time. Graeme, I don't know if you want to add to that. I just flew in two three weeks ago and went through all the checks and balances to get into the state of WA, but then you want to add anything?
Graeme Sloan: Yes, Michael just it's a really a double edged sword in some ways. I mean we've we had people isolated over in the eastern states, one in particular hadn't been decided for eight months, because he was in isolation over there. The border is open, that person is now back at work. And at the same time, as we're seeing some of these people start to move back into the role and, and open up the other roles. What it does, as Paul was mentioned, is it exposes a site to them bring it in. So we are seeing in WA, an increasing COVID cases, significant increase in COVID cases. And there is, I think, no doubt that it'll start to work its way into the mining operations around Western Australia. So including our own, we do have a couple of members now that have been tested positive for COVID. So it really is a two edged sword, we see a good group of people coming in. It opens the door for recruitment, but also opens the door for more and more cases that come in, and I think it's only going to be a matter of time.
Michael Fairbairn: Okay, fantastic. That's, that's really great color. Thanks, guys. That's it for me.
Operator: Thank you. Ladies and gentlemen, this is all the time we have for questions today. I will now turn the call back over to Mr. Huet for closing comments.
Paul Huet: On behalf of the company, I just wanted to take a moment and thank everyone for their questions for taking the time today, to listen to us on our call with Graeme and Oliver. I know that people have busy schedules, busy lives. Thank you very much for taking the time to listen in. If you have any further questions, please don't hesitate to get a hold of any one of our team who will gladly gladly assist in any way we can. And I wish everyone a great help and have a great couple of weeks and talk to you soon. Thank you very much everyone and have a great day.
Operator: Thank you sir. Ladies and gentlemen, this does indeed conclude your conference call for today. Once again, thank you for attending, and at this time, we do ask that you please disconnect your lines.